Operator: Ladies and gentlemen, thank you for standing by. Welcome to Liberty Media Corporation's First Quarter 2022 Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded May 6th. I would now like to turn the conference over to Courtnee Chun, Chief Portfolio Officer, please go ahead.
Courtnee Shaun: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in Liberty Media's most recent Forms 10K and 10Q, or Liberty Media Acquisition's most recent Forms 10-K and 10Q, filed with the SEC. These forward-looking statements speak only as of the date of this call and Liberty Media and Liberty Media Acquisition expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statements contained herein to reflect any change in Liberty Media or Liberty Media Acquisition's expectations with regard there to or any change in events, conditions, or circumstances on which any such statement is based.  On today's call, we will discuss certain non-GAAP financial measures for Liberty Media and SiriusXM, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media and SiriusXM schedules 1 and 2 can be found at the end of the earnings press release issued today, which is available on Liberty Media's website. Now, I'd like to turn the call over to Liberty President and CEO, Greg Maffei.
Gregory Maffei: Thank you, Courtney, and good morning to all of our listeners. Today, speaking on the call, we will also have Formula One's President and CEO, Stefano Domenicali, and Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling. So I'll begin with Liberty Sirius XM. We received $872 million of gross dividends from SIRI tax-free in the first quarter, including the special and regular dividend. We -- because of the nature of our convertible bonds, we had to pass through $30 million of that special dividend. We continued our share repurchases, repurchasing $182 million across LSXMA [Indiscernible] from February to April. We repurchased those at a look-through price on SIRI of about $356 a share. We, of course, remain disappointed with the discount and attack it as much as we can. We're very focused on long-term value creation for our shareholders. Now looking at Sirius XM itself, a solid start to the year, continued to perform well financially despite a challenging auto market. Revenue was up 6%. Monthly churn was wonderful, down at 1.6%. And we had record ARPU up 9%. New car penetration for SiriusXM is now at 83% and has enabled a fleet of 146 million cars here in the U.S. As expected, self-pay net adds were down slightly due to challenges in the auto market. This was partially offset by strength in digital, and we had 50% increase in the subs listening digitally to our on-demand content. I'd also note we launched our first-ever streaming channel, Freakonomics, dedicated to podcasting and available across all the SXM platforms. SXM media was named the number one podcast ad network, according to Edison Research, and we represent four of the top 15 podcasts in the country with the addition of Crooked Media in this month. Also beginning with this year's masters, SiriusXM is the exclusive audio provider for the tournament and providing excellent programming across all four rounds. Turning to Live Nation. Five Live's first best quarter ever, including -- given another record quarter at Ticketmaster. And compared to 2019 AOI is up two times, transacted GTV is up 39% and sponsorship AOI is up 75%. We expect a record 2022. We've already sold 70 million concert tickets and expect double-digit fan growth versus 2019. Concert ticket pricing is up, double-digits over 2019 due to fan demand for the best seats and over 90% of our plan sponsorship net revenue is already committed. Turning to Formula One Group, on the corporate side, we repurchased 348,000 F1 shares for $20 million or 5614 a share. And looking at F1 itself, thrilling start to the 2022 season. So far we've had battles back and forth on who will be on the podium each weekend. The spread event at Emilia brought exciting qualifying results and the format is working well with the new regulations and producing strong viewership numbers. The sprint audience is up 28% versus the qualifying last year at Emilia. We also see a record demand in the U.S. early in this season. On the ESPN viewers for the Sunday race in both Saudi and Bahrain, were up 56%. And that was the most viewed race since ESPN re-acquired the Formula One rights in 2018. The momentum in the United States continues with this weekend's inaugural Miami GP. And of course, you can't have not heard about the announcement of our Las Vegas GP for November 2023. As we've noted before, that'll be a night race down the strip. And notably and differently than most places, Formula One and Liberty Media are self-promoting the race in partnership with local stakeholders and Live Nation. The build-out for this track will require increased CapEx and OPEX to develop and to truly provide you with numbers, but we intend to update you later this year. I would note that Liberty Media did enter an agreement to acquire 39 acres east of the strip to lock in circuit design and create capacity for the pit and paddock, among other hospitality and race support venues. I expect that transaction will close in the second quarter, and the purchase price was $240 million, it will be funded by cash on hand at the Formula One Group level. We announced numerous commercial announcements, including on the media right side and extension with the FOXTEL Group in Australia, and Canal + in France. Sponsorship is off to an exciting start this year with several new deals, including two new Global Partners, MSC and Salesforce. And we look forward to more announcements as the year progresses. We also look forward to seeing some of you this weekend in Miami. Turning to Braves. We started the season with a week-long World Series Champion celebration, including delivering World Championships rings to the players. We've completed less than 20% of the seasons, a long way to go and the last season showed how far things can change over this 162 games. We're hovering at around the same record as last year and we all know how that turned out. At least we did manage the split with the METs over the last couple of days. We are excited about are roster. We signed first space [Indiscernible] a 27-year-old Atlanta native. We strengthened the bullpen with Janssen's addition, and we're thrilled to welcome Ron Lacoon Jr. back in the lineup this week. While it's still early in a season, financial performance has already been incredible. Going to the season we had the highest season ticket sales in more than two decades, we sold out all of our multiyear premium seats for the first time ever, and open our renovated delta club and retail and concession sales have been strong for the first few homes stands including selling out most of our gold program jerseys. As you undoubtedly know, a new CBA was signed in March. There will be minimal impact from the late start since the loss games were away games and we still expect a full 162 games season. In January, we also completed the sale of three minor league teams. And in final exciting news, we brazed debuted the digital Trust park in April for future Mediverse fan opportunity engagement. Turning briefly to Almac, nothing to report today. Obviously, we'll announce when we have something, but I would note the environment which is very difficult as many of you know, I think it does favor us and we continue to look at some interesting opportunities. And with that, I'll turn it over to Brian for more on our financial results.
Brian Wendling: Thank you, Greg. And good morning, everyone. In January, we settled exchanges of the 2.25% Live Nation exchangeable bonds for a total consideration of $664 million. Funded with cash and margin loan drops. At quarter-end Liberty SiriusXM Group has attributed cash, liquid investments -- and liquid investments of approximately $634 million, which excludes $76 million of cash held at SiriusXM. There is also $1 billion of undrawn margin loan capacity at the parent level related to our SiriusXM and Live Nation margin levels.  As of May 5th, the value of the SiriusXM stock held at Liberty SiriusXM Group was $19.7 billion and the value of the Live Nation stock held was $6.6 billion. We have $3 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $13.9 billion, which includes $9.9 billion of debt at Sirius XM. Formula One Group had attributed cash liquid investments in monetizable public holdings at $1.6 billion at quarter-end, which excludes $834 million of cash held directly at Formula One. Total Formula One Group attributed principal amount of debt was $3.4 billion, which includes $2.9 billion of debt at Formula One, leaving $454 million at the corporate level. F1's $500 million revolver is undrawn. And Formula One's leverage at the end of the quarter was 3.7 times, meaningfully within our target leverage range less than five times. As of quarter-end, we're no longer in a period covenant waiver. Looking at a few cash items on Formula 1.  Formula 1 estimates its cash tax rate in 2022 to be a single-digit percentage of adjusted OIBDA, increasing modestly to low double-digits in 2023 and thereafter, as a result of the UK tax rate increase that's effective next year. Additionally, Formula 1 is currently undergoing a project to refurbish and upgrade its UK based media and technology center out at Beacon Hill in the UK, which broadcast production and other technical activities and related staff are based. Formula 1 expects to incur about $40 million in incremental CapEx associated with this project, approximately half of which will be recognized in 2022 and the remainder next year. This elevated CapEx excludes any CapEx necessary to support the launch of the Las Vegas Grand Prix in 2023. And as Gregory mentioned, we'll provide updates on that later in the year. As a reminder, under the current Concorde Agreement, team payments now take the form of an entirely variable price fund, which is now calculated based on F1's adjusted EBIT rather than adjusted EBITDA, the adjusted EBITDA measure that was used in previous agreements. Such that the calculation now takes account CapEx, which is incurred through, including depreciation costs in the calculation. Finally, at the Braves Group the quarter end, they have attributed cash and liquid investments of $311 million, which excludes $26 million of restricted cash. Braves Group had attributed principal amount of debt of $678 million as Gregory mentioned, the Braves completed their sales three minor league teams in January. Proceeds are included in our financial results as they disposition in the first quarter, and you can see additional details on that in our 10-Q, which will get filed later today. Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter-end. And with that, I'll turn it over Stefano to discuss Formula One.
Stefano Domenicali: Thanks, Brian. I'm thrilled to be in Miami this morning, as we have set for the inaugural Miami Grand Prix. The seed is buzzing with excitement and we're looking forward to the weekend. The 2022 season is off to a phenomenal start. The many changes to the cars in regulation have resulted in improved racing. The cars now follow more closely, enabling greater opportunities for wheel-to-wheel racing, with drivers trading position multiple times, making them think most strategically above the moves.  The strength is back and we held our first event of the season in Emilia that came down to the final few laps. It turned out to be a Grand Slam weekend for Red Bull, heading qualifying before winning both the race and the sprint; and securing the extra points for the fastest lap. The first sprint of the season recorded a total audience of 8.4 million, a 28% versus qualifying of the same Grand Prix in 2021. With strong growth in Brazil and in the U.S. The Emilia weekend on the Sky's for Italy website, recorded a 74% increase in unique user, compared to the Emilia GP in 2021. On F1 social platforms, we saw 149 million video view, up 36% versus Emilia in 2021 and 45 million engagements, a 43% increase versus 2021. However, the start of the season so far is Ferrari, which has shown real strength with the car and Charles Leclerc currently leading the drivers' championship by 27 points. Red Bull are catching up. And we expect the season to continue to create great racing and close battle at the front. As the constructions continue to refine the new cars, we expect more surprises during the season and opportunities for great racing across the grid. As confirmed on our last earnings call, we will not be racing in Russia in September. We are currently considering the options for the sport and hope to announce more information soon. The action on the track is certainly drawing in the audience.  Through Emilia, the average oldest Grand Prix across the main Saturday and Sunday sections, is $23.8 million and is up 10% versus 2021 season average. In the U.S. the Saudi Arabian Grand Prix growth in over 1.4 million average of viewers, the ninth highest of all times and second highest on cable. And at the race [Indiscernible], the fans are backing the huge numbers. We had record attendance in Bahrain, in Saudi we add 140,000 fans over the weekend with full capacity. Melbourne was the largest weekend ever in Australian sport in history with 420,000 fans, strong advanced ticket sales almost everywhere, suggest we may continue to see sellouts other races for the remainder of the season, including here in Miami.  We were thrilled with the response to season 4 of Drive to Survive, this season is the most popular season yet. On the opening weekend, fans consumed 28 million hours of Drive to Survive, and the show was ranked number 1 in 33 countries. Looking towards the 2023 season, we announced the debut of the Las Vegas Grand Prix in November 2023. This will be a [Indiscernible] to the night [Indiscernible] the iconic strip. We cannot think of a more perfect marriage of speed and glamour. Staging of the race in the U.S. demonstrate the huge appeal and growth of our sport here. In fact, in the 24 hours following the official announcement, we in Las Vegas, and anchor resort saw more requests for hotel room reservation than any other one day period in their history. They also saw the announcement generate four times most social media activity than the 2024 Vegas Super bowl announcement. It is precisely this opportunities that led us to take on the promoter role for this race. We believe acting us promoter will provide us with valuable insight across the [Indiscernible]. As Gregory mentioned, this will require investments on both the CapEx and OPEX side, and we plan to shed more on this later this year. Additionally on the race side, we announced that we extended the immediate reminder Grand Prix at the historic [Indiscernible] track through 2025. We're pleased with the progress made in the other commercial areas, especially with our new sponsors, including several in the technology space. Salesforce has joined us a global part in a multiyear deal. In addition to the growing and deepening engagement with our fan base, we will gain actionable insight around our carbon footprint as we march toward our goal of net zero-emission by 2030. Tata Communications returned as the official broadcast connectivity provider of Formula One. They would facilitate the transfer or more than 100 video fees and 250 audio channel between the venues and the F1 Medias and technology center in the UK in under 200 milliseconds, enabling us to reach over $500 million funds in 180 territories. We've already made great strides here on the ESG front as our move to remote broadcast operation in 2020 allowed us to reduce our volumes of traveling freight and staff at the race track. We also welcomed Lenovo as an official partner and we will use their technology across our operations. We will leverage their extensive selection of premium hard-weather innovative, next-generation technology such as augmented and virtual reality. Additionally, we will work together with Lenovo on projects around diversity and inclusion. We were also pleased to announce the renewal and expansion of our partnership with Workday, a leader in enterprise cloud application for finance and human resources. Outside of the global space, we announced a multiyear deal with MSC Cruises as a global partner, and they plan to bring their cruise ships sport side during selected Grand Prix weekends and AlphaTauri, Red Bull premium fashion brand has become the official premium fashion apparel supplier of Formula One. On the broadcast front we renewed our partnership with [Indiscernible] until 2029. We are seeing significant viewership growth in France. That 2021 average viewership for each Grand Prix was up 18% over 2020 and up 50% compared to 2019. And the first to race of the season already rank them all the top-five rating of old times for F1 events on calipers. As possibly the sense partnership CALID through subscribers, we now get access to F1TV through my canal. We also in our partnership with the Foxtel group in Australia in a multiyear deal. Every grown pretty will be available in folk sale and folk sale with integrated the F1TV app into eat set top boxes. From 2023, the F1TV app will be available free to fox our subscribers and will provide multiple live in race feed, comprehensive life timing data, and exclusive programming on the end of the track. F1 TV continues to see significant growth accelerated into 2022 from an already strong 2021. Of the first race of the season in Bahrain, the platform gain 427K new users and concurrent viewers where up to 144% compared to 2021. We continue to evolve on the gaming front. And I'm filling the F1 manager 2022. The first management simulation game as part of our long term multitask agreement that will be released at this summer. The game allows you to be the team principal. Choose your drivers and engineers and balanced budget as you manage your team to victory. Find out if you are a total or Christian, or maybe even a [Indiscernible]. As you can see from our recent commercial announcement, our ESG goals are major focus, not only for us, but also for our partners. We are moving towards our goal of being net zero carbon as a sport by 2030. For the Bahrain Grand Prix, we exceeded our target to offset our emissions. Our experienced promoter, the Bahrain international circuit demonstrate vision and speed by completing a major solid project that more than covered the energy requirements of the entire Grand Prix weekend. This successful initiative shows what we can do as a sporting community to make a positive contribution to reduce emission and our carbon footprint. We hope you enjoy this weekend of racing as much as we plan to. [Indiscernible] full-speed ahead. And now I will told the call back over to Gregory. Thank you.
Gregory Maffei: Thank you, Stefano and Brian. We hope you'll tune into our inaugural Miami GP this weekend. We do appreciate your continued interest in Liberty Media and look forward to a healthy and productive 2022. And with that operator, I'd like to open the line for questions.
Operator: Thank you. [Operator Instructions]. We'll go first to David Karnovsky with JPMorgan.
David Karnovsky: Thank you. With the Las Vegas Grand Prix, I was hoping you could discuss a little bit more the decision to promote this yourselves as opposed to a third-party. This is primarily about capturing the financial upside beyond what you could get on a promoter fee. Would you look to apply this model elsewhere? And then Gregory, I think at the start of the call, you mentioned $240 million purchase for land adjacent to the site in Vegas. Just wondering if you could provide some incremental detail on what you're buying here and how that ties into the race logistics. Thanks.
Gregory Maffei : I'll take a cut and then let's Stefano add. I think I indicated we're buying 39 acres for $240 million, and that'll be the site of the pit and paddock and some other hospitality. We don't have any other financial details yet to release on what else will be spent on that site. I think our decision to promote Vegas in conjunction with Live Nation, and local partners is driven by a couple of things. One proximity, it's fairly easy relative to being in Denver to get to Vegas for us to do the work. And we have some knowledge of the local U.S. market relative to many other markets. But I think, and more importantly, we see the opportunity to be a promoter as a way to expand our understanding the business, understand how to be the best Formula One product on the track for other promoters as well, to look at an opportunity to grow our knowledge and our understanding, and potentially promote other races down the road. And lastly, I think Vegas is going to be a large and unique -- perhaps unique opportunity. So from a financial perspective, we think this one sets up pretty well to be worthy the time extra focus to become the promoter. Stefano, I don't know what you would add.
Stefano Domenicali: No. Thanks, Gregory. I think that Gregory was very spot on in all the points. I would say that as we remember, David, Vegas has been always a place where we do believe that the association between the values of Formula One and the glamour and attractiveness, the possibility to be in that community is crucial. But I would say on top of the financial things that we can see around that business, we can be seen the enabler to maximize what potentially Vegas could be for Formula One in term of awareness, in term of business creation, in term of activating an area of the world where we can bring internationally. And I think that is a great wing to win a business also for the ones that are investing there. But for sure, our knowledge of the business and our opportunity to explore with our Live Nation partner, that I think is the best in order to make sure that in next year in November when we're going to have the race, that event will be spectacular, it will be unique, as I would say we can feel here in Miami already.
David Karnovsky: Thank you.
Operator: We'll take our next question from Bryan Kraft with Deutsche Bank.
Bryan Kraft : Hi, good morning. I had a high-level question and then one on Formula one if you don't mind. I guess. Gregory first, what are your overall thoughts on the economy and the interest rate environment and how are they impacting your decisions around capital allocation, capital structure, and potential new investments? Is now that time to say, deploy capital for new investments given the decline in asset prices, are you more of the mind that cash preservation is most important now? And then on the Formula One side, I guess Stefano or Gregory, can you talk about how Formula One benefits in the -- from what appears to be really strong economics around the Miami Grand Prix? I think the terms there for Miami are bit more variable than some of your other raise promotion deal, so any color there would be great. And I guess as a follow-up to David's question, was anything that you were seeing in Miami, did that help to inform your strategy to become the promoter for Vegas? Because you saw that things are going so well there and saw an opportunity to participate in a bigger way in the upside. And then one more on, just on the investment in Vegas and developing that. In terms of order of magnitude, how much bigger might the Vegas build-out get in terms of dollars versus what you've already laid out for this year? And how would you think about potential external financing there, whether its debt specifically on the project, bringing in some of the creative stuff like you did maybe with the Braves in Atlanta? Thanks.
Gregory Maffei : I'm going to parse those. On the last one, I don't think we're ready to talk anymore about the outlays at Vegas. It will be bigger than [Indiscernible], but manageable. I don't think we'll need outside partners. And I don't think we'll need debt, we have quite a lot of cash in F1. I'll let Stefano talk a little bit about -- more about what Miami informed us. And I'll talk more broadly about cash in the market. Thanks.
Stefano Domenicali: Thanks, Gregory. Bryan, I mean, as you know, different form of relationship with the promoter is related to maximize the opportunities that each place can bring to Formula 1. And I think that's it's clear that what we can see, as I just arrived two days in Miami, I mean, the vibes that the we have created as Formula 1 is immense, is great. And you can develop let's say two strategy on that. One, how we can maximize the value that Formula 1 will bring to community, but also how we can maximize the value of our partners that are coming here. At investing in Formula 1, can see us as once again, that enabling factor of creating business opportunity for them. And this is an indirect value that Formula 1 is bringing very highly today because of the success of our international platform. And of course, the fact that here we invested together with our promoters, the Miami Dolphins, is because they knew the community, they have the right expertise to maximize in the shorter term as possible, what we want to bring here for Formula 1. And as I said, this success, is already high before the start of the event. And of course this is the first time we are here, we can see a different business model having a lot of corporate business that wants to develop the [Indiscernible] to a different mode that is different from place to place. So this is something, that also from our side could be very important to learn in order to be even more effective when we come to Las Vegas, and we're going to be directing for the promotion of it.
Gregory Maffei : So on the larger question about the market environment, it's scary to try and imagine investing or catching a falling knife in this interest rate environment and stocks. But I have to say in general, we try and take a longer view. There are opportunities that could create in these environments. Some of the best deals we've done like SiriusXM were created in difficult economic times. We are lucky to have not only cash availability at the SPAC and F1 significant excess cash at both and strong free cash flows at Sirius and Formula One that -- I think that creates opportunity for us. Exactly when that will be timed and when we make the decision -- we have a lot of benefits in our model, but we have some disadvantages. It's not like we can turn around and just say bye 5% of the company in the market where we think the bottom is, we'd see -- no it's a longer cycle in finding deals, but I definitely think the environment will create opportunities for us and we'll be on the lookout.
Bryan Kraft : Thank you, both.
Operator: Thank you. We'll take our next question from Vijay Jayant with Evercore.
Vijay Jayant : Thanks. On Formula 1, on the Las Vegas race for next year, should we think about it as an incremental race? So are we going to 24 races, assuming you get a replacement for Russia this year? And again, what is the policy to actually add more races? At least reading some of the drivers keep complaining that there are too many races already. Is that like a regulatory process that you have to go through with the FIA or the teams? Anything on that would be appreciated. And then, on some of the new races coming back since COVID-19, really Japan and Singapore, they used to be regional sponsors for them, the pretty material ones, I think. Is there an expectation we should have that they come back, I think Singapore Airlines and Honda? Thanks so much.
Stefano Domenicali: Thanks, Vijay. I can answer on the calendar as you know, first of all, we will have not published at the calendar for next year. In terms of process, you know that there is agreement within us, the FA, and the teams to discuss. It's on our side as a commercial right holder to make sure that we find right balance, between the number of events, the historical events, new opportunities that can become because we are a world championship. And I think if you think back a couple of years ago, as always, the right value for having a good calendar is related to the demand and to the offer that we can provide. And I think that today we are always talking about 23, 24 races, and that's what we believe today is the right number considering the success that we're living today. What we were talking about Las Vegas that will be in the calendar. Of course, that's the only thing that we have announced for next year. And I would say on the other hand, you would see soon what will be our strategy and we have to respect the process as we discussed. And we're going to announce it not earlier that at the end of summer because that's something that we want to keep it and prepare in the right way. With regards to the local promoters and sponsorship with Japan and Singapore, yesterday, we have already announced that Singapore alliance will be part of the promotional package on Singapore because for them is a very important partner and we respect that. Japan, you will discover soon that of course, for Honda, for example, because of their decision to quit officially Formula One, they could be something special that we want to recognize for them during that events. So this is part of this strategic discussion that we're having with our promoters. And I think that the economical benefit, of course, will go into the system, and of course also with us.
Vijay Jayant : Great thanks so much.
Operator: Thank you. We'll take our next question from Stephen Lesic (ph), with Goldman Sachs.
Unidentified Analyst : Thank you. One on Formula 1, revenue in the first quarter came in a little bit stronger, [Indiscernible] most of us expected. I was wondering if you could help us maybe on packaging the drivers that [Indiscernible], maybe across media or sponsorship rates conversion, and other revenue even [Indiscernible] that high level.
Gregory Maffei : I'm sorry, its revenue beat expectations?
Brian Wendling : Yes. Q1 was ahead.
Gregory Maffei : Well, I mean, for Formula 1, obviously we had two races versus one last year; and we're really back to more normal activities than we've been over the past couple of years. So you had full crowds and we had good sponsorship revenue as well. Also, freight costs have been up a bit and some of those costs are obviously passed on to the team, so there's incremental benefit there. But normal activities compared to the past couple of years is really where we've seen the benefit.
Brian Wendling : If I could just add, I think we've seen growth in almost every revenue category. But the way we recognize revenue ratably across races probably had the single largest impact. The fact that it was two versus one in the first quarter, recognizing that many of our revenue streams are recognized ratably than could tie to the particular race.
Unidentified Analyst: Got it. Thanks for that. And then maybe one for Gregory on sports media rights. I'm curious how you think the interest and ultimately the value of sports media rights could be impacted over the long term if some of these concerns around slowing scheduled subscriber growth also may play out? Do you think it helps improve their hand given unique live content or is the softening market something that you think effects content spend more probably?
Gregory Maffei : I think it's a complicated topic and partly where you sit is how you view it. And when I say that, I think there will be strains on the Braves potentially over the long term as the RSNs become less included in the bundle. On a regular basis, that'll put pressure on some of the RSN revenue streams. The Braves in particular have a very strong RSN revenue stream and a lot of demand, so we may be less impacted than many. But obviously, that turmoil could be a negative. On the other hand, Formula 1 has seen increases in demand and increases in viewership and we have the U.S. media rights as commonly known up for bid right now, beginning for next year season. And we have a lot of interest not only from traditional linear players, but digital players. And the offset to some of the decline in cable subs is the increase in some of the digital subscriptions. So that opportunity is, I think in the net were probably better off with more players bidding than their changing landscape, maybe plus or minus. And then a charter which is not the focus of today's call, we have a whole another set of dynamics where in some cases we're helped and in some cases, we may be hurt. So you really -- a lot changing and a lot of it depends on which company we're talking about.
Unidentified Analyst: Great. Thanks for that.
Operator: We'll take our next question from Barton Crockett with Rosenblatt Securities.
Barton Crockett: Great, thanks for taking the question. I wanted to put one question out, which comes from an investor, but I thought it was a good question. Which is, looking at the Braves, they're trading right now at market value of maybe 3.5 times or so sales. And you've seen private market transactions for baseball teams in the close to 7X sales range. So the question is, why won't you guys take some more steps to try and achieve that value right now for the Braves? One of the things that would seem to be opened to you, is that you now have a second ATB with Formula One and now Braves. So it would be possible to split maybe the Braves off as an actual stock which might help the value process to get people thinking about private market transactions, maybe down the road. So kind of curious what your thought process is there, why you haven't pursue those type of opportunities to date?
Gregory Maffei : Great question. Even if it's not your Barton from the investor it’s still a good question. I think we're looking at all options and considering what we might do, some of these things are more recent about when our ATB flexibility is occurred. There's some issues also, we're still looking at around SIRI and what we might do there, as you know, we just crossed over the 80 there. We've just had Formula One become an ATB, so there's some moving targets and we evaluate all opportunities, and I think your investors probably right. I'm not sure, seven times we'll see, but certainly the multiple we're trading is lower than that multiple which has been in private transactions. Whether it would still trade to that level of what it's a private sale transaction versus the public market transaction, open question. But I do agree that probably having the flexibility to do that would probably even improve trading over time.
Barton Crockett: Okay. And then also on the Braves side I wanted to ask about the RSN deal with the [Indiscernible] RSN and their pursued obviously rights from teams to do the direct-to-consumer streaming service. The Braves are not yet sign up for that, but we did see that a friend of the Braves family at Charter has done a recent deal with Sinclair than involved the RSNs. I'm just wondering in the past, you guys have seen very skeptical about signing up for -- to have the Braves carried on that. It seems like you weren't really into that. Now Charter has done a deal with them, I'm just wondered if there's any evolution in you're thinking or whether it's still seems like not likely that you want to do that?
Gregory Maffei : Well, I think that's evolving, Barton, as well. And we're charters as I -- similar to the answer I gave before of where you sit defines what you want to see happen. We have a good RSN deal that runs out till FY 27. I still think that's probably more value for less than any digital deal. Are there any incremental digital deals that are around that potentially and as you're seeing growth and lots of kind of digital around baseball and now people like Apple entering to buy rights? So I think it's evolving. I don't know if Valley is going to be the lead player, they've got their challenges, but we're certainly open to watching how the market evolves.
Barton Crockett: Okay. Great. Thank you.
Operator: Thank you. We'll take our next question from David Joyce with Barclays.
David Joyce : Thank you. Another question on Formula One, please. Conceptually, how should we be thinking about the principal versus agency relationship on fund self-promoting this? Not looking for any financial specifics, but just accounting-wise. Would it be something where your Live Nation is the promoter and is taking all the new top-line? But then they have the operating expenses and therefore, Formula One would get something along the lines of raise, promotion fee plus a margin or is this something that's all going to be reflected directly on Formula One's financial, and how our partners reflected in that?
Gregory Maffei : I'll start, and let Brian give the really accurate answers. In general, we are the primary partner Live Nation from a financial perspective, is the secondary partner. They have a role is very important. But most of the capital investment, most of the outlays will come from us, not from Live Nation. And we don't anticipate at this is going to be called out separately on our income statements, won't be material in that sense. So the lines will generally be folded in promoter fees and the like, sponsorship, hospitality, etc. But Brian, what might you correct me?
Brian Wendling : That's very accurate. I would say we will consolidate as Gregory said, so the revenue and CapEx will be on our books as well as the costs. And also as Gregory said, we would expect that -- we need to ultimately find [Indiscernible] once we have the race, but our expectation right now is that you would see the revenues go into their traditional buckets. So Paddock Club would go into other revenue and then sponsorship, then would go where sponsorship currently goes. And then to the extent we're selling tickets, we would expect that that probably goes into our promoter revenues. So it'll look very similar except for the fact that we're consolidating the costs which normally -- and all the revenue, whereas under normal promoter relationship, we just have that fee.
David Joyce : Great. Thank you very much.
Operator: We'll go next to Jason Bazinet with Citi.
Jason Bazinet : Another question on Formula 1. You mentioned that you may -- over time maybe promote other races. And I guess if you look at the 24 - ish races or whatever, some of those obviously you are in iconic places, where you probably won't self-promote. But if you just -- you were going to blue sky it. How many of the 23 other races that you wouldn't be self-promoting would be in the bucket where you might self-promote?
Gregory Maffei : I don't think we've -- I'll let Stefano add. I don't think we've announced any plans. We're going to start to see where -- how we do this, hopefully make the success of it that we believe we can make it. I would only cautiously say don't be so certain that places which are iconic are places where we will not eventually become a self-promoter. I wouldn't -- can't decide that opportunity. Stefano, what might you add?
Stefano Domenicali: No, absolutely Gregory. I think that the beauty, if I may say that, of this moment is it's -- because the new promoters are really putting new energy and new vibes into the system. I think this is something that have a collateral effect on the traditional promoter that needs to keep up the pace with the respect. And we do respect a lot our promoters because they are the ones that really working with us to make sure that we have a great show all round the world. But this effect is giving us an incredible boost to make sure that all the system is very active to maximize what we're bringing into the platform. And this is really what Gregory said, is never say never. But with this in mind, I would say we're very happy with the promoters that are working with us. They're very, very loyal -- reliable partners on which we're going to build up even a stronger future together.
Jason Bazinet : That's great. Thank you.
Operator: Thank you. We'll take our final question from Matthew Harrigan with Benchmark.
Matthew Harrigan : Thank you. Clearly, you have a take-off in the U.S. for Formula 1, which is really going to help with ESPN at the same time. You've got a lot of geopolitical changes, Sochi going away, but whac-a-mole zero COVID-19. In China, hopefully Shanghai comes back. Particularly with the desirability of getting more better times in the U.S. if it becomes even more appealing for ESPN, would you be more inclined to look at bringing back something like Nurburgring and maybe even promoting yet yourself in some of the classic venues, and kind of going more U.S. and Europe, versus a lot of the expansion that's taken place in Asia and in the Middle East. I know some of the Middle Eastern races are hugely successful, American stay around. But the world is changing so much, it looks like Formula 1 is a winner, but just how complex is your [Indiscernible] off everything going on in the world on geopolitics? Thanks.
Stefano Domenicali: What I can say Matt is that the Formula One and we’ve proven to be the say, flexible as possible also in the COVID-19 situation to maximize the fact that we want to have a great championship. And our duties to make sure that we, first of all, our world championship and we are investing either with partners or either with us involved directly in that to make sure that the strategic markets are becoming crucial for Formula one will be part of it. And you correctly say that U.S. has an incredible boom in the last, I would say two years. And the duties to make sure that we can even maximize more the effect on that. But we have other out of the world that need to be developed and need to be respected because of the tradition. But tradition doesn't mean that something given for granted. Tradition is a great base on which we're going to build up a better future. Europe has to stay for sure with a good bunch of number of races in our calendar, they will stay. We were talking about [Indiscernible] the general landscape is for sure a very interesting landscape in which no matter will be the promoter, we need to see what could be the action if needed, that we can recover that in the calendar. I'm sure if you want to be specific on that, something that could happen soon could be very important to be back on the calendar, but we don't have to forget that we have -- we want to vest in the Far East world because we so far been affected by COVID-19 but there is a great potential to grow there. We have to have other at out of the world which is East Africa, on which we may develop business there. So it's a great moment for us to maximize the opportunities, to see what would be the right schedule in the future of Formula One. We will not take out of the equation the possibility of having some places with rotational principal, because that will give a leverage to be multiple markets. So as I said, it's really our strategic thinking with regards to our future calendar.
Matthew Harrigan : Just continuing of determined team are still discussion of new OEMS coming in to Formula One. I know you can't be specific, but it feels like there are a lot of positive things still pushing in that direction, or are you still having discussions with various people on that?
Stefano Domenicali: Well, as you can imagine, Matthew, we cannot be specific on that. But the good news is that we can see what we rate, and we know we're doing, working with all the manufacturer. And if I may on that specific point without the same anything related to something that we can say, the good news that today Formula One is really showing the leadership in the technological landscape of the automotive business, in the multi-spot of course. And our charges related to sustainable through in the future and our strong path, that we want to prove to the world that we are really serious in the Netscope Caguan(ph) at zero within 2013. Is something that really gives us credibility, and this is the reason why everyone, not only the ones that you read, are interested to have stocks with us.
Matthew Harrigan : Perfect. Thank you.
Gregory Maffei : Operator, I think that were done. To the listening audience, again thank you for your interest in Liberty Media. As we said, we hope to see some of you here in Miami, and for those who are not able to get to Miami, we do encourage you to watch. And I hope to speak to you again next quarter if not sooner. Thank you.
Operator: That will conclude today's call. We appreciate your participation.